Operator: Good day, ladies and gentlemen, and welcome to the FuelCell Energy reports First Quarter 2015 Results Conference Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session and instructions will be given at that time. . I would now like to hand the conference over to Kurt Goddard, Vice President of Investor Relations. Please go ahead.
Kurt Goddard - Vice President-Investor Relations: Good morning, and welcome to the first quarter 2015 earnings call for FuelCell Energy. Yesterday evening, FuelCell Energy released financial results for the first quarter of 2015. The earnings release, as well as a presentation that will be referenced during this earnings call, is available on the Investor Relations section of the company website at www.fuelcellenergy.com. A replay of this call will be available two hours after its conclusion on the company website. Before proceeding with the call, I would like to remind everyone that this call is being recorded and that the discussion today will contain forward-looking statements, including the company's plans and expectations for the continuing development and commercialization of our FuelCell technology. I would like to direct listeners to read the company's cautionary statement on forward-looking information and other risk factors in our filings with the U.S. Securities and Exchange Commission. Delivering remarks today will be Chip Bottone, President and Chief Executive Officer and Mike Bishop, Senior Vice President and Chief Financial Officer. Now, I would like to turn the call over to Chip Bottone. Chip?
Arthur A. Bottone - President, Chief Executive Officer & Director: Thank you, Kurt. Good morning, everyone, and welcome. Please turn to slide 4, first quarter 2015 highlights. We continue to progress on our competitiveness transition from a product to a project business and adapt to the changing project investment landscape that is now better appreciating the value of our solutions and attributes. Project-oriented businesses can have fluctuating quarterly revenue, but the key to success is the ability to control costs, innovate and develop a strong pipeline of projects and execute on existing backlog. We continue to demonstrate strong progress and advances in all of these areas, which Mike and I will be highlighting during our call today. Further solidifying our penetration of an attractive utility business segment, UIL Holdings awarded us with a turnkey project and long-term operating agreement for advanced hybrid power plant we refer to as Direct FuelCell Energy Recovery Generator, or DFC-ERG. The plant is being installed at one of our customer's many natural gas pressure reduction stations, providing a suitable financial return, increased system demand for clean natural gas and local tax revenue. This is our third order from UIL in less than 12 months. This order exemplifies our strategy of offering an expanding range of solutions and services into growing and diversifying energy markets. We're encouraged by the recently announced combination of UIL Holdings and Iberdrola USA. The increased scale and scope of the new combination may support an expansion of our relationship into new geographies. Recent sale of a 1.4 megawatt power plant at the University of Bridgeport to NRG Energy and its acquisition by NRG Yield marks the first time a fuel cell power project has been dropped down into a yieldco and highlights an attractive financing path for subsequent fuel cell projects as well as validating the structure and return profile of our fuel cell projects. During its first year of operation, the Dominion Bridgeport fuel cell park achieved greater than 95% availability. Dominion, the third largest utility in the country is very pleased with the park's performance, which ranks in the top tier of its entire power generation portfolio. Other utilities are taking notice particularly in space-constrained urban areas. Solar availability, measure at a percentage is typically all in the mid teens in the Northeast requiring expensive and less environmentally appealing peaking power support. Our installations team is now installing multiple power projects in both coasts of the U.S. Upon completion, these installations will support growth in services revenue, a key value differentiator in our business model. We are maintaining a strong balance sheet with our cash balance increasing modestly from yearend and a strong total liquidity. I'll discuss our business, markets and operations in more detail after Mike Bishop, our Chief Financial Officer, reviews our financial results for the quarter. Mike?
Michael S. Bishop - Senior Vice President, Chief Financial Officer, Treasurer and Corporate Secretary: Thank you, Chip. Good morning and thank you for joining our call today. Please turn to slide 5 titled quarterly financial highlights. FuelCell Energy reported total revenues for the first quarter of 2015 of $41.7 million. This compares to $44.4 million for the prior-year period. For the first quarter of 2015, product sales totaled $33.4 million, service agreements and license revenues totaled $3.9 million and advanced technology contract revenues totaled $4.4 million. Gross profit for the first quarter of 2015 totaled $4 million compared to $2.2 million for the same period last year. The gross margin percentage was 9.6% compared to 4.9% for the comparable prior-year quarter. Lower material costs, continued improvements in manufacturing efficiencies and sales mix drove the improvement in gross margin. Total operating expenses were $9.1 million for the first quarter of 2015 compared to $9.8 million in the prior-year period. Increased project development activity resulted in an increase in administrative and selling expenses year-over-year. However, this was more than offset by the year-over-year decrease in research and development expenses, as a number of initiatives related to multi-megawatt fuel cell parks were completed in 2014. Net loss to common shareholders for the first quarter of 2015 was $4.9 million, or $0.02 per basic and diluted share. This compares to $11.4 million or $0.06 per basic and diluted share for the first quarter of 2014. Adjusted EBITDA, which is a measure of cash flow and is based on earnings before interest, taxes, depreciation, amortization and other income and expense, totaled negative $4.1 million for the first quarter of 2015 compared to negative $6.3 million for the first quarter of 2014 on improved margins and lower spending. Now, I will transition to slide 6 titled financial metrics. Total liquidity at January 31, 2015 was $155 million, consisting of cash and cash equivalents including restricted cash of $111.9 million; availability on the JPMorgan revolver of $3.1 million; and availability of $40 million on the project finance facility extended by NRG Energy. In comparison, total liquidity at the end of Q1 last year was $106.1 million. In addition, the company is in the process of finalizing its previously announced financing agreement with the State of Connecticut related to the expansion of our Torrington manufacturing facility. This commitment from the state includes $20 million of loans and $10 million of tax credits. Total inventory of approximately $57 million at January 31, 2015 was comparable with the fiscal year-end 2014 balance. I would like to explain a new line item titled Project assets included this quarter under the current assets section of our balance sheet. As we expand our project development activities, we expect to construct more plants once the power purchase agreement has been executed with the off-taker but before the project is sold to a long-term investor. This is an attractive model as the PPA structure offers projects with low risk and no upfront capital to our customers and has the potential to accelerate deployment in the U.S. and Europe. Our fuel cell projects offer profiles, which are attractive to project investors including consisting cash flows that are not dependent on weather or time of day with strong credit off-takers. This has been demonstrated by the recently announced NRG Yield purchase of the University of Bridgeport project developed by FuelCell Energy. Project assets on the balance sheet totaled $5.7 million at January 31, 2015, and reflects cost incurred to date for projects that FuelCell Energy is developing and installing but have not yet sold. As an example last year, we executed long-term power purchase agreement with the University of California, Irvine Medical Center. We are now in the construction phase of this 1.4 megawatt installation and these costs are reflected in a project asset line item. We are speaking with a number of potential project investors and expect to sell the project near or shortly after the commissioning date later in 2105. Sale of the project will result in recognizing revenue for the entire project at the closing date which contrasts from the percentage of completion method of revenue recognitions used for projects that are sold prior to start of installation. Had this project been on percentage of completion accounting, revenues in the first quarter would have been approximately $5 million to $6 million higher than what was reported. By adding the project asset line item to the balance sheet, we are providing greater transparency to our development activities and timing of expected future revenues. Total backlog was $337 million at January 31, 2015 compared to $334 million at the end of fiscal 2014. Backlog includes product sales totaled $109 million or 66 megawatts. Service backlog increased to $208 million at January 31, 2015, and advanced technology contract backlog was $21 million at the end of the first quarter. Before I conclude, I would like to provide additional clarification around the 2015 guidance that was provided last quarter. We expect production for the year to be in the 70 megawatt range consistent with prior guidance and fully allocated. We are now anticipating more module sales in 2015 to POSCO Energy to support their strong local demand. This combined with the timing of domestic revenue recognition now has us forecasting average quarterly revenue in the range of $38 million to $48 million this fiscal year versus our prior guidance of $50 million to $60 million per quarter. We expect to trend towards the higher end or above this range in the second half of the fiscal year as projects like the UCI I (10:54) that I previously mentioned enter revenue recognition. Margins are expected to be in the high-single digit to low-teens trending higher as mixed transitions to more turnkey projects in the U.S. and Europe later in the year. There are no other updates for the previously shared 2015 outlook. In summary, the company delivered margin and spending improvements over the prior year, maintains a strong liquidity position and continues to execute on our strategic growth initiatives. I will now turn the call back to Chip. Chip?
Arthur A. Bottone - President, Chief Executive Officer & Director: Thank you, Mike. Please turn to slide 7, business model review. We continued to align our operating model with market opportunities, and one illustration of this is the enhanced competitiveness of our offering while simultaneously improving the margins of all of our revenue streams so further growth leads to profitabilities. We define our competitiveness or affordability of our power plants by the levelized cost of energy, or LCOE. Our LCOE fell to $0.12 per kilowatt hour on an unsubsidized basis and assuming natural gas of $4.50 per million BTU. We are better positioned, enabled us to competitively bid and develop projects that we couldn't have targeted just 12 months ago, leading to greater scope and size of our project pipeline. However, incentives do exist in most of our geographic markets, which leads to even further competitiveness. As shown in the graph, the LCOE of our power plants compares favorably with other forms of power generation when considering geography, transmission and the cost of intermittency. For example, large scale solar and wind are not well suited for urban areas in the Northeast U.S. due to the amount of expensive land they need, addition of costly and difficult to cite transmission and expensive peaking power for when the sun isn't shining and the wind isn't blowing, which does impact availability. It is important to note that virtually all of our projects are financed today and at this level of LCOE, these projects deliver attractive returns to investors from rapidly emerging yieldcos while lowering cost of capital. The point is that all the pieces are coming together and that allow us to deliver the next level of growth. What this LCOE chart does not monetize is the value of the society from a virtually emissions free power generation. When this does become monetized and it will, our offering becomes even more appealing. Margin expansion continues to be an area of intense focus for the entire team and the chart on the top right illustrates this reversal of losses from four years ago to consistent gross profit generation. While our business by its nature can see uneven order flow and subsequent revenue fluctuation from quarter to quarter, the continued increase in gross profit reflects measurable progress on our route to profitability. Our growing services business is a core component of our business model. Continued focus on this vital aspect of our business combined with the growing install base has allowed us to grow from a significant loss in 2010 through gross profit in 2014 and over the last 12 months. We are transitioned away from early generation small-size installations or demonstration projects that offer little or negative financial return. Our team is focused on growing services to approximately one-third of our revenue with the expected potential of margins in the mid-20% range over time. With the increased competitiveness and margin improvements in all business segments, key to our growth and overall profitability is our ability to develop a significant pipeline of projects and execute in line with our production plan, our multi-stage project development process and financing or delivering projects upon completion, which optimizes margin and minimizes risks. This is a model used by many companies in the solar industry for example. We provide ultra-clean distributed generation solutions to two primary markets, utility grid support and on-site combined heat and power and we offer turnkey project development services in all of our markets globally. We sell directly to our customers. Our company is unique in that regard with our offerings. By helping us remain close to our customers as we address their complex and diverse energy challenges, we believe this direct sales mile is best suited for our business of multi-megawatt projects with long-term service opportunities. Given the increasing multi-megawatt size of our projects, just a few projects can deliver higher revenues and margins. Utility-scale projects are sold directly to utilities using a rate-based model or to investor owners using a power purchasing agreement with the power consumer. On-site CHP projects are sold directly to customers or to project investors using a PPA. Our strong balance sheet and access to lower cost capital allows us to rapidly develop projects that can be sold to project investors near commissioning. As Mike discussed, University of California, Irvine Medical Center project is an example of project development on our balance sheet that we then sell and recognize revenue in full on project sale completion. This enforces a change for us that leads to fluctuations in quarterly revenue, but has the potential to accelerate adoption and enhances margins as we manage a rapid installation to minimize construction period financing. Please turn to slide 8, market update. We'd like to highlight our development progress and capabilities for the multi-megawatt portion of our overall project pipeline. We are in the development and bidding stages for several hundred megawatts of projects in different markets and geographies. The table on the right highlights some of these projects that are in excess of 10 megawatts. Let me stress, this is not a complete list of our pipeline, but an area of increased focus which I can explain in more detail. We are pursuing a number of opportunities below 10 megawatts for utility, on-site and micro-grid applications as well. The table illustrates our trend towards developing larger projects in the emergence of a merchant model option to execute without the pre-requisite of utility RFP. Economics improved with scale, customer acquisition costs presented through product value decreased measurably, we leverage our service infrastructure leading to expanding service margins and we have a strong project investor interest in these types of projects. Project investor interest is a result of larger project values, consistent cash flows and attractive yields. There is adequate private funding to expand aging power infrastructure in the U.S. and beyond, and with our projects have the correct attributes. The recent project sale to NRG Yield illustrates these points. All of the projects shown meet our multi-stage development process. Sites and power off-takers have been identified, project economics are attractive and potential investors view these projects favorably. Compared to solar, a 14-megawatt fuel cell project can deliver nearly three times the electricity revenue and require only one-tenth the amount of land. The development of many of these projects will allow us to bid into the growing number of states or utility RFPs that are either assumed to be issued or out now. We also have the option to develop some of these as a merchant project, or in some case, respond to large customer needs. We are actively exploring multiple sites to build the 11 megawatt to 14 megawatt projects using a merchant model approach. We have found a strong value proposition of certain states, where a fuel cell project would sell the clean power to the grid, while monetizing the other project value streams, including sale of capacity, heat renewable energy credits or RECs. We see strong investor appetite for these types of projects, and we partner with the existing or new utility customers, energy investors and strategic partners. We have the capabilities accompanied today to develop an increasing number of opportunities for our pipeline like never before. Not all these projects will get done however, but we only need to close a few to absorb our available capacity and deliver revenue growth. Further competitiveness improvement should accelerate the rate at which we can increase this pipeline. Please turn to slide 9, operational execution. We have nearly 12 megawatts of projects currently undergoing installation, illustrating the diversity of our end-markets. Utility projects now in process include a 2.8-megawatt power plant at a substation that will help to enhance grid resiliency. Sold directly to utility customers, this application is a good market, easy to cite on utility-owned property and requiring no new transmission infrastructure, utilities can add ultra-clean continuous distributed power to the portfolios quickly and affordably. The 3.4 megawatt gas let-down station project is another utility project. Like substations, natural gas let-down stations are utility-owned locations, where gas utilities can add clean power to the portfolios while avoiding citing issues. Our 2.8 megawatt fuel cell power plant at a renewable energy park will generate continuous power, helping utility owner balance intermittency of the solar array. On-site CHP projects now in process will serve the power critical requirements of a hospital in the university micro-grid, producing ultra-clean and reliable power round-the-clock, a 1.4 megawatt power plants will enable the energy security of these institutions which tend to have higher power consumers as well. Adding to their overall value, our power plants are a good complement to intermittent renewable energy sources these institutions like and may wish to install. The company's manufacturing expansion initiatives are moving forward. In my previous discussion, in pipeline projects helped to illustrate why we're pursuing these two-stage expansion at this time. The Connecticut Bond Commission has approved the financing for the previously announced expansion of our Torrington facility. We expect great ground on this project later this year. Our South Korean partner, POSCO Energy's new manufacturing building is complete and production equipment is being added now. Local production of complete fuel cell power plants is expected to begin in mid 2015. We are working closely with POSCO to support their market demand as the new facility comes online. FuelCell Energy experts are actively engaged in all aspects of this project to ensure its alignment and success. Several FCE associates and I just completed a visit to Korea for meetings with POSCO executives and team members. We held discussions on strategic and operational topics, and are aligned on our goals for growth, operational excellence, innovation and customer collaboration. We are on track to deliver our high efficiency fuel cell hybrid power plant designed for applications with significant power needs with minimal thermal energy demand. An innovative adoption of our core technology, this targeted solution provides attractive economics to the global data center market and gives us greater access to utility grid support market. Please turn to slide 10, carbon capture. We recently issued a press release providing both an update on the progress of our carbon capture solution and sizeable market potential. This update was very timely and favorably received. This solution, which is uniquely offered by FuelCell Energy, appeals to a broad range of stakeholders, and for that reason, creates a very larger market opportunity which is incremental to what we had previously estimated for our core megawatt scale distributed power generation business. Carbon capture is a fairly complex topic but the short answer is that we believe we have an effective, economical, scalable and financeable solution based on our fuel proven core technology. We leveraged public and private finance funding to preserve capital, but are making increasing use of private funds, which help to confirm the viability of newer solutions and have the potential to accelerate commercialization. As shown in the schematic, our advanced carbon capture solution, captured CO2 emissions from the existing coal and gas-fired power plants while destroying pollutants and does this far more efficiently and affordably than conventional methods. Our solution is designed using the same core fuel cell component as our commercial power plants but uses a specialized balancer plant. Rather than feeding ambient air into the fuel cell, our balance of plant feeds flu gas from coal or gas-fired power into the fuel cell, which then captures the CO2, an electrochemical side-reaction. As a result, no unique inventory is required. One distinct competitive advantage of our solution is it can increase electrical output of the power plant unlike conventional aiming based technologies which reduce output by generating electricity while simultaneously capturing CO2 and eliminating pollutants, it provides a revenue stream that can attract private capital. Because it can convert an expensive compliance obligation into a revenue-generated project with a measurable return on investment, the solution is attracting interest of government officials, utilities, independent power producers with whom we are now in active discussions is expected to generate interest in our European served area as well. The potential market for coal-based plants is a function of the market penetration and present carbon capture. Installing our solution, only 1% of the existing coal-fired power plants in U.S. alone represents approximately $1 billion near term market opportunity. We are speaking with numerous parties about a megawatt-class plant. Additionally, and using the same core technology platform, we have achieved several milestones under an existing contract with a global energy company for gas-fired power plant applications for carbon capture technology. We are in discussions now regarding the next project phase with this private sector customer. Please turn to slide 11, summary. During the first quarter, we opened up the new market with our innovated DFC-ERG while pursing advanced technology opportunities with large potential. We delivered the first project to drop down into yieldco showcasing the attractive economics and repeatable structure of our projects. The operating performance of the Bridgeport fuel cell park was recognized by Dominion and captured the attention of other utilities. We continue enhancing our business model, leveraging elements that strongly differentiate us in our sector. We have significantly reduced the LCOE of our solutions, our balance sheet is strong and our services business is profitable. Gross profit is expanding. We are executing on a diverse portfolio and projects in multiple markets. Our project pipeline is big and getting bigger. We are now developing or bidding on more desirable large-scale projects more quickly, enhancing the scope and size of our project pipeline and better positioning us for future growth and profitability. Closure of new projects is our focus. While much work remains to be done, we are making progress and strengthening our business. I thank our talented associates for their hard work and I thank you for your continued support. Operator, we'll be happy to take questions at this time.
Operator: Thank you. Our first question comes from the line of Les Sulewski from Sidoti & Company.
Les Sulewski - Sidoti & Co. LLC: Good morning. Thank you.
Arthur A. Bottone - President, Chief Executive Officer & Director: Good morning, Les.
Les Sulewski - Sidoti & Co. LLC: Mike, I would like to start off with you actually. Could you give us a little more color on the accounting procedure around the Project asset. Is this only projects that are in development prior to sale, does it flow into revenue once complete, a little more color on that please?
Michael S. Bishop - Senior Vice President, Chief Financial Officer, Treasurer and Corporate Secretary: Sure. Good morning, Les. Yes. So this quarter with the activity that we're seeing and what we're developing in the pipeline and I used the example of the UCI Medical Center where we're out constructing a project, I thought it was prudent to break it out on the balance sheet either out of inventory and classify it as project assets. As I said in my remarks that will come into revenue recognition once we complete a sale to a permanent investor. So we have a long-term power purchase agreement in place already with UCI actively marketing the project and following the COD date will recognize the revenue on that and this accounting follows what a lot of the larger solar developers do as well.
Les Sulewski - Sidoti & Co. LLC: Okay. And is this essentially why the lower guidance?
Michael S. Bishop - Senior Vice President, Chief Financial Officer, Treasurer and Corporate Secretary: That part of the reason for the lower guidance, Les, yeah. The timing of domestic revenue recognition later in the year factors into our lower guidance, as well as allocating some additional modules to POSCO Energy during the fiscal year to support their strong local demand. So as a result of shipping modules to POSCO, we don't have all the other revenue that comes with a turnkey projects such as balancer plant and EPC services that will come later in the year and into 2016 as we execute on some of these larger projects that Chip talked about in his remarks.
Les Sulewski - Sidoti & Co. LLC: Okay. And then, as far as SG&A, I know you've developed a little bit more cost in the last quarter. How can we look at it from a more normalized run rate?
Michael S. Bishop - Senior Vice President, Chief Financial Officer, Treasurer and Corporate Secretary: Yeah. I think what we are seeing in the first quarter, Les, is a normalized run rate, plus or minus the small percentage for SG&A. As we mentioned in the remarks, we have invested more in project development and that's coming through the SG&A line item.
Les Sulewski - Sidoti & Co. LLC: Okay. And, I guess, last one, I'll jump back into queue. In your most recent proxy, there was a proposal regarding a share reverse split. What are the – what's the likelihood of that taking place if passed and perhaps maybe a little bit more reasoning behind it, and some typical likely ratios evolve.
Les Sulewski - Sidoti & Co. LLC: Sure Les. So I'd certainly refer folks to the proxy statement which has a detailed description around the board's reasoning. For that proposal, this is a request to give the board authorization at a future date to potentially enact a reverse stock split. It would not happen after shareholder approval, and it's a one-year window. If it doesn't occur in the one year, we would go back to shareholders potentially in the future. But it gives the board that option of what we've been told by institutional shareholders is that the stock becomes more attractive with a – potentially with a higher price on it. So it certainly wouldn't have any impact to market cap or liquidity, but feel like it's a prudent tool to have out there for the board to potentially use in the future.
Les Sulewski - Sidoti & Co. LLC: Okay. Thank you.
Michael S. Bishop - Senior Vice President, Chief Financial Officer, Treasurer and Corporate Secretary: Thanks, Les.
Operator: Thank you. Our next question comes from the line of Jeff Osborne from Cowen & Company.
Jeffrey Osborne - Cowen & Co. LLC: Good morning. Thanks for all the detail on the call so far and the pipeline information that's very helpful. Mike, I was wondering the $5.7 million on the project assets that Les was asking about, that seems a bit high in my mind relative to just the 1.4 megawatt project. First of all, can you give us a rule of thumb of kind of how that balance sheet line should trend on a per megawatt basis? And then if there is any other projects behind that other than the UC Irvine piece that you called out?
Michael S. Bishop - Senior Vice President, Chief Financial Officer, Treasurer and Corporate Secretary: Sure. Good morning, Jeff. So yeah, the majority of that balance on the balance sheet is related to UCI. And thank you for the question because I would like to give a little bit of color around the POSCO megawatt for a project. So when you think about costs coming out of our factory, we talked about $3,000 a kilowatt, somewhere in that range, and lower depending on the size of project. But in addition to that, for turnkey projects, we provide more than just the product outside of the factory. So for this particular project, it's a complete turnkey solution where we're doing all of the installation work. And additionally, a lot of these projects can have heat recovery. I believe this one has a chiller on it as well. And then you look at some projects, which have micro-grid applications. So all of that can add to the project costs and therefore (32:30) the turnkey EPC that will show up on our balance sheet. So it certainly can be a variable cost depending on the customers and application.
Jeffrey Osborne - Cowen & Co. LLC: Okay.
Arthur A. Bottone - President, Chief Executive Officer & Director: And we would expect to add more into that – there's other questions because you'd just see more of that in this year.
Michael S. Bishop - Senior Vice President, Chief Financial Officer, Treasurer and Corporate Secretary: Yeah. Sure. The follow-on to that, Jeff, is we have been actively talking to other folks about power purchase agreements. We've won some LREC awards where we're in conversations with folks about putting PPAs in place and would expect to start construction on those this year as well.
Jeffrey Osborne - Cowen & Co. LLC: Got you. So you've made some parallels to the solar industry. I think the solar industry players have talked about kind of a 20 basis points to 40 basis points IRRs by keeping projects on the balance sheet and then selling them off upon completion. Obviously, yieldcos need something producing power right away as opposed to nine months to 12 months from now. Is there any type of return on investment analysis that you've done that you could share with us about the impact of this change in the business model that you've articulated?
Michael S. Bishop - Senior Vice President, Chief Financial Officer, Treasurer and Corporate Secretary: Well, I think you summarized it really well there, Jeff. Certainly, construction period financing can be the most expensive type of financing and long-term investors would prefer to buy a project at COD. So it certainly helps the project level of return to the investors as well as FuelCell Energy's margin opportunity and being able to de-risk those projects and deliver on that COD.
Jeffrey Osborne - Cowen & Co. LLC: Okay. Just had a couple of other quick ones. One is, is there any discussion at the board or management level about how much cash would be kind of tied up in this line item? Obviously, you've got a lot of working capital, the $40 million from NRG, et cetera. But comparing that relative to the 300-megawatt pipeline that I imagine the bulk of that would want to be done prior to the end of 2016 with the tax credit expiration. If you are successful at even a quarter of that, obviously that's a lot of use of capital. So how do we think about the impact of this business model and how reflective it would be on the 10-megawatt and up (34:48) units versus some of the smaller ones, like UCI?
Michael S. Bishop - Senior Vice President, Chief Financial Officer, Treasurer and Corporate Secretary: Sure. So as you mentioned, Jeff, we do have the credit line with NRG Energy and these are the types of projects that we can draw down on, so that provides liquidity for those types of projects. Certainly strong liquidity position for the company around $155 million at the end of this quarter, so certainly comfortable with our ability to execute on these types of projects. And the project financing market right now is very strong and we would expect as larger projects come into construction that there is adequate capital to finance these projects.
Jeffrey Osborne - Cowen & Co. LLC: Got you. Two other quick ones. One, any comments about the urgency of the pipeline and relative to the tax credit expiration? And then lastly, can you just update us on the Long Island retendering process, given the disappointing outcome in December, any update there?
Arthur A. Bottone - President, Chief Executive Officer & Director: Jeff, good morning. This is Chip. I think I'll take those three and try to remember all the three. The first one was the urgency I think. Yeah, anything we've got on that list, as I think you probably know from experience, that these large projects we can execute if we have them properly or adequately developed, meaning site control and things like that, which is what we have in our process. We can execute those in 12 months or so. And we align all of these projects as well before we sign these contracts with the production capacity we have and all that. So we don't need to do a lot of them, but we do have adequate production capabilities and people to execute those in advance of the end of 2016, which you're talking about for investment tax credit. I would just say one thing on the investment tax credit. We're still, as other people are, pursuing that extension for that tax credit. So we are planning for the worse and hoping for the best. You may remember that the President did put that in his budget. There is a lot of discussion to be going. But particularly when we talk about carbon capture and some of these other big projects opportunities or infrastructure investments, we're starting to draw in a lot more support for the extension of the investment tax credit. So you can imagine people in cold states kind of like the idea and you can use coal cleanly. So yes, we can execute in the timeframe necessary, but we're still pushing forward and I would say that the support for investment tax credits for FuelCell is gaining support. Relative to the LIPA outcome, I would say this. We had 100 megawatts, just to refresh everyone's memory that we're in the final level of discussion with LIPA and in the middle of December of last year the board decided at the last minute to not award those projects, our projects or some others. And the reason given was that they didn't like the fact that fuel risk, which frankly between us, we told them a) that was there's ways to mitigate that, you do it in your own business, this is fairly small given your overall portfolio of projects you're managing as LIPA. So we've had follow-up discussions with them, number one, Jeff, on just the current projects and there's been some receptivity to look at those things. They will be having another RFP come out, which might be which we're referring to in 2015 about mid-year, which will obviously be right there. But between the groundswell of support for these five different projects frankly and NRG support and our support, we're having direct dialogues with them. So I wouldn't necessarily write those off. The other thing you probably or maybe haven't seen is that there was recently an RFP issued in New England, which combined the resource needs for Connecticut, Massachusetts, and Rhode Island. The RFP on the Street for that I think has been 170 megawatts for Connecticut, roughly about 90 megawatts for I think Massachusetts, I don't recall exactly what Rhode Island have, and then there is numerous RFPs out in the West from utilities as well as micro-grid type opportunity. So all of these things are some aspect on that sheet that we gave you. We're just trying to give you some color of what we're focused on. And as I said in my comments, we don't need a lot of those things to close a couple of them will be more than adequate to get us to revenue growth we need.
Jeffrey Osborne - Cowen & Co. LLC: That's great. I appreciate all the detail. Just one point real quick for clarification. The $0.12 that you have for an LCOE in the deck, that is without the 30% tax credit, correct?
Arthur A. Bottone - President, Chief Executive Officer & Director: Yeah, that's unsubsidized, Jeff.
Jeffrey Osborne - Cowen & Co. LLC: Okay.
Arthur A. Bottone - President, Chief Executive Officer & Director: So that kind of comes down to $0.09 or $0.10 depending on where you're at with the incentives that are available in different markets.
Jeffrey Osborne - Cowen & Co. LLC: Great. Thanks so much, guys.
Arthur A. Bottone - President, Chief Executive Officer & Director: Yeah. Welcome.
Operator: Thank you. Our next question comes from the line of Sven Eenmaa from Stifel.
Sven Eenmaa - Stifel, Nicolaus & Co., Inc.: Yes. Hi. Thanks for taking my question. Couple of follow-ups on the page 8 table here. So in terms of the pipeline you disclosed, how much of that you would classify as late stage which means, 50%, 60% or a higher probability of receiving an order in late 2015 or in 2016?
Arthur A. Bottone - President, Chief Executive Officer & Director: Good morning. This is Chip, I'll answer that. Again, this is just – this is not the complete list. So there's a lot of other element to this. But when you look at that, I would say that you got 50% of that is pretty late stages stuff. When I say late stuff, it's late stage, that may either – we're talking to people specifically after all of the project development process has done, meaning, we talked about site control and things like that or there's active RFPs on the street, so it's least 50% of that list.
Sven Eenmaa - Stifel, Nicolaus & Co., Inc.: Got it. And in terms of the current demand of PPAs you have signed, could you just give us an overview like how many megawatts you currently have signed up?
Arthur A. Bottone - President, Chief Executive Officer & Director: Well, so PPAs are typically signed by ourselves or whoever the owner of the facility might be. So, for example, in the case of Bridgeport fuel cell park, we set-up a separate LLC that we ultimately sold to Dominion, so that was a PPA that was signed that obviously turned into a project. So I'm not quite sure how to answer the questions on number of PPAs. How many we have out there, I don't know. There is – it's really, I probably know more than megawatts than number of PPAs. But the way this typically works is, as Mike said, with UCI Medical, that was another PPA, and that particular one has not been sold to an investor at this point. But typically, today, these things start with the lease or a PPA. That's kind of the structure and what you see there on that list kind of represents most of that.
Sven Eenmaa - Stifel, Nicolaus & Co., Inc.: That's helpful. In terms of NRG, I mean you have now dropped down one project there. Are you at the stage now where you have like a complete set of standardized documentation, which would allow you to kind of streamline the process going forward or was that more of like a one-off transaction here?
Michael S. Bishop - Senior Vice President, Chief Financial Officer, Treasurer and Corporate Secretary: Good morning, Sven. This is Mike. I'll take that one. Yeah, so we've had this relationship with NRG now going on a year-and-a-half, have been actively working with their sales and marketing team. They develop pipeline with their customers as well as work with us in developing pipeline with customers. We have developed standard terms and conditions, both between FuelCell Energy and NRG, as well as what the PPA looks like with an end-customer. So the recently announced University of Bridgeport deal, 1.4 megawatt, dropped into a yieldco. We would expect project documents to follow a similar format going forward.
Sven Eenmaa - Stifel, Nicolaus & Co., Inc.: Great. And then last question. I just wanted to ask in terms of, if you look at the percentage of completion revenue recognition, how many megawatts do you recognize in the current quarter and what is the kind of cadence there through the year?
Michael S. Bishop - Senior Vice President, Chief Financial Officer, Treasurer and Corporate Secretary: So I'll take that one Sven. So number of revenue – number of megawatts recognized in the first quarter, how about if I try to answer it this way and give you a little bit of color around the revenue makeup in the first quarter, and let me just make sure I'm on that slide. But if you breakdown the products revenue that we reported in the first quarter of $33 million, about $9 million of that is power plant revenue and about $6.3 million of that is related to EPC and component sales. So, those two line items together are more or less what we are doing for project development activities in the U.S. and some Europe. The other half of the revenue, about $18 million is related to kits and modules.
Sven Eenmaa - Stifel, Nicolaus & Co., Inc.: That's sort of helpful. And actually a last...
Michael S. Bishop - Senior Vice President, Chief Financial Officer, Treasurer and Corporate Secretary: And selling to POSCO Energy obviously.
Sven Eenmaa - Stifel, Nicolaus & Co., Inc.: Yep, well understood. And the last, I mean, I've seen a little bit of volatility here in terms of the margins around the advanced solutions and also services side from quarter-to-quarter. How should the investors think about the sequential trending on those margins?
Michael S. Bishop - Senior Vice President, Chief Financial Officer, Treasurer and Corporate Secretary: Sure. Let me start with Advanced Technology. Advanced Technology, certainly nice margin percentage this quarter, are in the 14% range. As Chip mentioned, we are doing Advanced Technology contract now with private industry, and those have margins versus working on government contract typically come with a cost-share component. So depending on the level of effort, quarter-to-quarter, and mix versus government versus private industry that will impact the Advanced Tech margins, certainly expect positive margins in Advanced Tech and obviously like this margin percentage, I would say that that will be variable in future quarters as the mix related to government type work can be a little bit higher, but certainly targeting double-digit margins in Advanced Tech. As far as service and license margins, it came in around 8% this quarter. The variability there, we have a very steady service business when it comes to maintenance-type activity, that's recognized pretty ratably over the term of the service agreement. As we talked about in prior calls when we do module exchanges at the end of useful life for a module that does drive revenue recognition and margins. So, you look at this quarter's service revenue, that's down a little bit from where we have been in prior quarters and that's a result of really having no module exchanges in the period. That will come up in future quarters along with the timing of module exchanges to the customer side. The other element I'd point out is royalty revenue from POSCO Energy as they do installations, we get royalty revenue. They tend to do chunks of installations which can create some variability in that line item as well.
Sven Eenmaa - Stifel, Nicolaus & Co., Inc.: Great. Thank you.
Michael S. Bishop - Senior Vice President, Chief Financial Officer, Treasurer and Corporate Secretary: Thank you.
Operator: Thank you. And our next question comes from the line of Aditya Satghare from FBR Capital Markets.
Aditya A. Satghare - FBR Capital Markets & Co.: Hi, good morning, all. Thanks for taking the question. So this question was asked before, right? But could you sort of help me understand right, what are some of the key criterias when you decide between percentage of completion and then recognition on sale, I just want to make sure I'm clear about that?
Michael S. Bishop - Senior Vice President, Chief Financial Officer, Treasurer and Corporate Secretary: Good morning, Aditya it's Mike. So, really the key criteria is the sale of the project to a permanent owner. So when we look at a power purchase agreement with an end customer like UCI Medical Center, there is a firm power purchase agreement in place where you will recognize revenue ultimately from power sale but our plan is to ultimately sell that project to a permanent owner. So again I correlate this to what some of the larger solar developers do. They'll keep it on balance sheet until the COD date, negotiate terms during the construction period with a permanent owner and then sell it at the COD date. So, that's what we're doing here for this particular project. And as I mentioned, we expect additional PPAs like this during the year. We'll build them during the construction period and then recognize revenue at sale at COD.
Aditya A. Satghare - FBR Capital Markets & Co.: Understood, understood. So if I then look at the slide number 8 here, is it right to say that when you classify something as direct sale, you already identified an owner and when you classify as a PPA, you still have to identify the end buyer?
Michael S. Bishop - Senior Vice President, Chief Financial Officer, Treasurer and Corporate Secretary: Yeah. I would qualify that a little bit in saying that on slide 8, the PPAs that we're talking about there can be with utilities. So, Chip talked about the LIPA example and the Connecticut example where there's an RFP on the Street where the utilities are looking to enter into a long-term power purchase agreement. Those projects will ultimately be owned by a power project investor. It could be a utility, it could be an independent power producer, it could be an infrastructure fund, those projects will obviously get developed, get constructed and they'll be a piece of construction period of financing involved in those as well.
Aditya A. Satghare - FBR Capital Markets & Co.: Okay. And then one last question here. So when Chip – Chip earlier mentioned that the 309 megawatts of pipeline is not the total pipeline, right? If we had to think about the total FuelCell pipeline maybe also if you guys could touch about what's happening on the sub-megawatt scale. How large would the FuelCell pipeline be?
Arthur A. Bottone - President, Chief Executive Officer & Director: Yeah, Aditya, there's kind of like three buckets here. This is the first time we've actually showed something here because we know that there will be a lot of discussion around the yieldco emergence and things like that. But the other three buckets in just North America, if I stick with this for a minute, you've got these large plants, you've got sub megawatts, and then you've got within the sub megawatts which would be anything say 5 megawatts and down, give or take, you have a broad number of projects like micro grids and I think as Jeff brought it up, how do you figure out the price of the project because it's not a function of the megawatts when you start adding on a lot of different things, so that's North America. Then you got Europe. And I would say that I don't have the numbers right in front of me here. But you are in excess of 500 megawatts of projects if I threw in all those other buckets here.
Aditya A. Satghare - FBR Capital Markets & Co.: All right. Thank you. Thanks for the update.
Arthur A. Bottone - President, Chief Executive Officer & Director: Okay.
Operator: Thank you. And our next question comes from the line of JinMing Liu from Ardour Capital.
JinMing Liu - Ardour Capital Investments LLC: Good morning. Thanks for taking my question.
Arthur A. Bottone - President, Chief Executive Officer & Director: Good morning.
JinMing Liu - Ardour Capital Investments LLC: Yeah. First, just to clarify that $5.7 million project assets. Is that number at cost or are you just (51:58) revenue?
Michael S. Bishop - Senior Vice President, Chief Financial Officer, Treasurer and Corporate Secretary: Good morning, JinMing. This is Mike. That's the cost number. So when we ultimately recognized revenue, it will have margin on it as well and that's the cost in the middle of constructing a project, so it's not the complete value.
JinMing Liu - Ardour Capital Investments LLC: Okay. Got that. And the – on your project pipeline, I noticed a couple of those projects are under lease. So does that mean in the future, you will put – you will be an owner of those two projects or you will ultimately sell it to some investor?
Michael S. Bishop - Senior Vice President, Chief Financial Officer, Treasurer and Corporate Secretary: This is Mike, again, I'll take that one. So, no, we wouldn't be the owner of those. We're working with financial institutions that would ultimately write a lease back to the end customer for those types of projects.
JinMing Liu - Ardour Capital Investments LLC: Okay. So it really doesn't matter whether these as PPAs or lease, but you will look for an investor for that on a given project and but for a short period of time, you have to put it on your balance sheet.
Michael S. Bishop - Senior Vice President, Chief Financial Officer, Treasurer and Corporate Secretary: For certain projects which we're developing and we have not sold yet, we will put them on our balance sheet for a period of time, yes.
JinMing Liu - Ardour Capital Investments LLC: Okay. Got that. And just one last question. Your cost receivable increased to $6 billion. This has been increasing over the past two quarters. Any reason behind that?
Michael S. Bishop - Senior Vice President, Chief Financial Officer, Treasurer and Corporate Secretary: No reason behind that. It's related to just terms that we have with our end customers, the accounts receivable is current and collectible.
JinMing Liu - Ardour Capital Investments LLC: Okay. Got that. Thanks.
Operator: Thank you. And that concludes our question-and-answer session for today. I would like to turn the conference back to Chip Bottone, Chief Executive Officer for closing comments.
Arthur A. Bottone - President, Chief Executive Officer & Director: Thank you. Thank you, everybody, for your time and the good questions. I'd like to close this call on kind of three points here. As you can tell from the different dialogue and the conversation, we're actively developing large-scale projects that have investor interest enabled by the improvement and affordability of our solutions. Number two, I'd highlight that the service business turnaround is contributing to our profitability and as a significant growth in the backlog and it is a key differentiator in our space. And then, finally, in discussion of some things like carbon capture, you can see that we have a lot of embedded optionality in our business, using our core technology, with funding from, as Mike said, other partners and governments, there are very, very sizable opportunities. So we tried to share as much as possible with everybody today and hopefully that was helpful. But I would just like to again thank everybody for their interest and have a great day.
Operator: Thank you. Ladies and gentlemen, thank you for your participation in today's conference. This does conclude the program and you may now disconnect. Everyone have a good day.